Operator: Welcome to Bed Bath & Beyond's first quarter of fiscal 2015 earnings conference call. All participants are in a listen-only mode for the duration of the call. This conference is being recorded. A rebroadcast of the conference call will be available beginning on Wednesday June 24, 2015 at 6:30 PM Eastern Time through 6:30 PM Eastern Time on Friday June 26, 2015. To access the rebroadcast, you may dial 888-843-7419 with a passcode ID of 39894286. At this time, it's my pleasure to turn the conference over to Janet Barth, Vice President of Investor Relations. Please go ahead.
Janet Barth: Thank you, Baqeeba and good afternoon, everyone. With me on the call to review our first quarter of fiscal 2015 results are Steven Temares, Bed Bath and Beyond's Chief Executive Officer and Sue Lattmann, Chief Financial Officer and Treasurer. Before we begin, I would like to remind you that this conference call may contain forward-looking statements including statements about or references to our internal models and our long-term objectives. All such statements are subject to risks and uncertainties that could cause actual results to differ materially from what we say during the call today. Please refer to our most recent periodic SEC filings for more detail on these risks and uncertainties. The company undertakes no obligation to update or revise any forward-looking statements as events or circumstances may change after this call. Our earnings press release dated June 24, 2015 can be found in the Investor Relations section of our website at www.bedbathandbeyond.com. Here are some highlights from the press release. Please note that our first quarter financial results were within our previously stated model range. First quarter net earnings per diluted share were $0.93. Net sales for the quarter were $2.7 billion, an increase of approximately 3.1% over the same period last year and quarterly comparable sales increased by approximately 2.2% or 2.5% on a constant currency basis. The company continues to model fiscal 2015 net earnings per diluted share to be between relatively flat and a mid-single digit percentage increase. Sue will discuss our quarterly financial results and provide an update on our 2015 model later in the call. Our first quarter performance reflects the core strength of our business across all channels and concepts. We are pleased that our ongoing investments to enhance our omnichannel shopping experience are producing meaningful benefits for our customers and associates. Let me now turn the call over to Steven.
Steven Temares: Thank you, Janet and good afternoon, everyone. I would like to take a few minutes to review some of the highlights of our quarter and then provide an update on several of our key initiatives. Overall it was a good start to the fiscal year as we continue to strive to do more for and with our customers wherever, whenever and however they express their life interests and travel through their various life stages. At the same time, we continue to make the necessary investments to thrive in an ever evolving retail environment. Financially, our fiscal first quarter performance was on track, as Janet mentioned and consistent with our model. We generated approximately $2.7 billion in net sales and $0.93 in net earnings per diluted share. First quarter comparable sales, which include sales transactions consummated across all of our retail channels, increased approximately 2.2%. As anticipated, year-over-year Canadian currency fluctuations unfavorably impacted our comparable sales by approximately 30 basis points in the first quarter. As we have explained previously, it is difficult for us to reasonably track the channel in which a sale was initiated. However, as we have been doing, we can provide directional information on how the sale was completed. During the first quarter, comparable sales consummated through customer facing websites and mobile applications grew in excess of 35% while comparable sales consummated in stores were relatively flat. Our digital channels have benefited from the investments made to-date and we continue to test and add new functionality to our websites and apps. Keep in mind, that we have anniversary-ed the 2013 relaunch of the buybuy BABY and Bed Bath and Beyond websites, as well as the $49 free shipping threshold on bedbathandbeyond.com, which anniversary-ed earlier this calendar year. As such, for the foreseeable future, we would expect the year-over-year growth comparisons for comparable sales consummated through customer facing websites and mobile applications while continuing to be strong, to moderate somewhat. We are pleased that customer adoption of our digital channel continues to trend favorably including visits to our websites and online orders. Not surprisingly though, orders placed via mobile devices continue to see the strongest rate of growth. There is no doubt that digital technology is transforming retail and the way customers shop. For example, customers may now start their shopping experience with us online or through a mobile device to research an item, read customer reviews or compare price. Then they may go on to visit a store and interact with one of our associates before placing an order online or purchasing the item in the store. The evolution of omnichannel retailing has created a more seamless and personalized shopping experience for customers. At Bed Bath and Beyond, we have been committed to creating such an experience for quite some time. For example, we have been leveraging our stores for order fulfillment for more than a decade. During the same time, our associates have been assisting customers and placing in-store orders via the Beyond Store. The Beyond Stores are proprietary in store web-based channel that extends the aisles of our stores by offering customers in our store a broader selection and assortment of products that can be shipped directly to their home. We also have a long history of accepting returns in-store without regard to the channel in which the purchase was completed. We believe these services are a natural extension of what we do to satisfy our customers. Our omnichannel strategy is centered on the customer. We believe we have aligned our organization and our strategy to allow us to provide our customers a seamless experience and we continue to work to improve upon this experience, whether they are interacting with us in a store, on the desktop or tablet, on a smartphone or through social media. Supporting this strategy are our key initiatives involving merchandising, marketing, analytics, fulfillment and customer service. I will touch upon a few of these during our call later today. Our mission to do more for and with our customers starts with our merchandise and services and our focus remains on increasing and differentiating these offerings. We do this in many different ways, such as by introducing new categories, developing innovative product, offering exclusive products, developing private-label brands, being the first to introduce a new product into the market, extending the quality, value and assortment of products in existing categories, enhancing our delivery and payment options, as well as providing other services and solutions. We currently have approximately 220,000 SKUs available, both online and available for order in-store through the Beyond Store. We believe our expanded offerings are part of a natural progression of the merchandise we already sell online or in our stores and extend our ability to satisfy our customer's life interests as they travel through their life stages. For example, earlier this year, we have launched a full line of brand name mattresses and introduced several new collections of outdoor patio furniture and accessories online at bedbathandbeyond.com. These new merchandise categories continue to be well-received. More recently, we have expanded our assortments in other important categories, including bedding and home decor. In May, we announced the launch of Lady Antebellum's Heartland home collection featuring designs inspired and derived from the country band's lifestyle, songs and stories. This bedding collection is available exclusively at Bed Bath and Beyond stores nationwide and at bedbathandbeyond.com. We also have a large and growing number of exclusive brands that we have licensed or internally developed. This suite of brand allows us to offer unique and differentiated products, as well as a better product selection for our customers. Developing a portfolio of private-label brands has become a core focus for us and is one of the many ways in which we seek to differentiate ourselves from the competition. Brands such as plan, such as Wamsutta, Real Simple and Kenneth Cole Reaction Home, to name a few, enable us to provide differentiated merchandise across multiple product categories such as bedding, bath, storage, cleaning and dining. We have also recently introduced Studio 3b by Kyle Schuneman, an exclusive line of bedding aimed at urban apartment dwellers and small space living, designed by a creative and innovative interior designer. We have also expanded our merchandise and service offerings over the years to become a destination for back-to-school shopping. Going away to college is an important life stage for our young customers and their parents. We have recently published both in print and online our annual Back-to-School Shop for College Guide & Checklist which contains products, services, checklist and decor inspiration for making any dorm room feel more warm and inviting for maximizing the functionality of the small space. Our college checklist contains a list of the basic items needed to furnish a dorm room or apartment. Our shop for college section on the Bed Bath and Beyond website contains specific information about hundreds of different colleges and their residential life to help students plan for what they will need while away at a particular school. The website also contains links to social media content, including videos for additional dorm room decorating and storage tips. Through our college registry service, students can easily select the item they want for their dorm room and share their wish list with friends and family. In addition, we continue to offer the popular pack and hold service where students can shop at the Bed Bath and Beyond closest to their hometown and then conveniently pick up everything at our store closest to their college campus. Our Shop Now, Ship Later service allows students to purchase items in advance and we will ship them when directed. Students can also sign up to receive information about college moving events and other shopping events on or near their campus. Through services and solutions such as these, coupled with our commitment to presenting exciting and increasingly differentiated product at the right value, our customers can meaningfully engage with us wherever, whenever and however they express their life interests and travel through various life stages. In addition to our merchandising and service initiatives, our investments in marketing and analytics enable us to leverage available information and technology to further develop a 360-degree view of our customers. As we continue to evolve our target marketing capabilities, we will be able to interact in a more personalized way with our customers and can launch more focused campaigns to drive purchasing behavior and as digital traffic quickly shift towards mobile, we want to continue to deliver a seamless mobile customer experience. As such, we continued to optimize our mobile touch points to further the convergence of our physical and digital channels. Some recent mobile enhancements include Express Checkout with PayPal, the ability to ship to more than one address in a single transaction and several search and navigation improvements that continue to drive positive results. We have also leveraged the augmented reality technology we discussed on our last call available through the Bed Bath and Beyond mobile app to use with a second registry catalog called the WOW Book. In addition, we are making a number of enhancements to simplify and improve our customer's registry experience across channels and we are developing and testing options to enable customers to further personalize their experience across our digital platforms. To further support our mission to just take care of our customers, we are creating more flexible fulfillment options that will allow us to deliver orders more quickly and cost effectively. During the first quarter, we opened our newest Las Vegas facility and we are assessing additional sites throughout the country to gain even greater distribution efficiencies. As you know, we already have the capability to ship for most of our stores. Our plans to open a new customer service contact center in late fiscal 2015 are also on track. Located in Utah, this new contact center will enable us to add support to our 24/7 East Coast contact center operations as well as limit potential disruptions from weather-related events. We also continue to make progress on other strategic initiatives, including the deployment of systems, equipment and increased bandwidth in our stores, continued investment in analytics, marketing and technology and development of a new point of sale system. Turning to our real estate activities which, as you know, are always subject to some timing variations. We continue to actively manage our real estate portfolio in a manner that permits store sizes, layouts, locations and offerings to evolve over time to optimize market profitability. We opened two new Bed Bath and Beyond stores during the first quarter, which ended on May 30 and at the same time we closed one Cost Plus World Market store. Since the start of our second quarter, we have opened one additional Bed Bath and Beyond store and two buybuy BABY stores. Including the five stores that we have opened to-date, we are still modeling to open 30 new stores companywide during fiscal 2015. Currently, we believe that fiscal 2015's mix of store openings by concept will be relatively comparable to that of fiscal 2014. As the digital world and physical stores converge, the physical stores remain integral to our success. Integrated properly, we have a unique opportunity to engage with our customers in new ways and develop deeper customer relationships. In addition to our merchandising efforts, we want to give our customers more reason to spend time in our stores. We want to encourage product discovery, create an experiential shopping environment and enhance the services we offer. In keeping with this, we are excited about our Brooklyn project. We have leased more than 100,000 square feet at Liberty View Industrial Plaza in the Brooklyn neighborhood of Sunset Park and development is underway to place four of our concepts under one roof. This location provides us with an opportunity to create a unique shopping venue to showcase our ever-increasing and evolving merchandise assortment as well as our omnichannel capabilities. We are planning to open in Brooklyn during the latter part of spring 2016. Internationally, we have plans to continue our expansion in Canada and Mexico. In Canada, we currently operate 44 stores, including one buybuy BABY store and plan to open at least three Bed Bath and Beyond stores in Canada during fiscal 2015. Our Mexican joint venture currently operates five Bed Bath and Beyond stores in the Mexico City market. We continue to be excited about our growth opportunities in Mexico and with our partners plan to open two additional stores outside of the Mexico City market during fiscal 2015, the first of which is scheduled to open later this summer. In addition to our retail operations, we are also growing our complementary institutional business, which includes Harbor Linen and T-Y Group by leveraging our combined expertise, product knowledge and relationships to provide products and services to hospitality, travel and other institutional customers. This is an exciting time for our company for the thrilling pace of change. However the one thing that has not changed is our mission to just take care of our customers. We are extremely excited about our future. We are and must remain flexible and nimble to be able to respond to the ever-changing industry landscape and we are committed to making the necessary investments to continue to position our company for long-term success. I will now turn the call to Sue to review our quarterly financial results and provide an update on our planning assumptions for the remainder of fiscal 2015. Sue?
Sue Lattmann: Thank you, Steven. I will start with some first quarter financial highlights. As a reminder, the first quarter typically accounts for the smallest portion of our annual net sales and earnings, so any fixed costs as a percentage of net sales are relatively more pronounced in the first quarter than they would be in any of the other three quarters. Overall, we are pleased with our fiscal first quarter results. Net sales for the first quarter were approximately $2.7 billion, approximately 3.1% higher than net sales in the prior year period. Of this increase, approximately 70% was attributable to the increase in comp sales and the remainder was primarily from new stores. Our comparable sales in the first quarter increased by approximately 2.2% attributable to increases in both the average transaction amount and the number of transactions. As anticipated, year-over-year Canadian currency fluctuations unfavorably impacted our comparable sales by approximately 30 basis points in the first quarter. Gross profit for the first quarter was approximately 38.1% of net sales compared to approximately 38.8% of net sales in the corresponding period a year ago. The primary factors contributing to this decrease in order of magnitude were first, an increase in coupon expense due to an increase in redemptions, partially offset by a slight decrease in the average coupon amount and second, an increase in net direct to customer shipping expenses. Selling, general and administrative expenses for the first quarter were approximately 28.1% of net sales as compared to 27.5% of net sales in the prior year period. This increase in SG&A as a percentage of net sales was primarily attributable to higher technology costs, including related depreciation and an increase in advertising expenses due in part to the growth in digital advertising. Consistent with our previous model and reflecting the movements in gross profit margin and SG&A expenses, the first quarter operating profit margin of 10% was approximately 130 basis points lower when compared with the same period last year. Net interest expense of approximately $19.9 million in the first quarter relates primarily to interest associated with our $1.5 billion of senior unsecured notes and the interest from our sale leaseback obligations related to certain distribution centers. Our tax rate for the first quarter was approximately 37.5% compared to approximately 37.4% in the first quarter of fiscal 2014. The first quarter provisions included net after-tax benefits of approximately $1.5 million this year and approximately $1.8 million last year due to distinct tax events occurring during the quarters. Considering all of this activity, net earnings per diluted share were $0.93 for the first quarter of fiscal 2015 and in line with our modeled range. Turning to the balance sheet. As of May 30, 2015, our cash and cash equivalents and investment securities were approximately $793 million. Retail inventories, which include inventory in our distribution facilities for direct to customer shipments were approximately $2.8 billion at cost, an increase of approximately 5.3% compared to the end of the prior year period. This increase includes an initial investment in inventory related to our newest Las Vegas distribution facility which opened during this quarter. Retail inventories continue to be tailored to meet the anticipated demands of our customers and are in good condition. Capital expenditures for the first three months of fiscal 2015 were approximately $72 million and included expenditures for technology enhancements, new stores, existing store improvements and other projects. Consolidated shareholders equity at the end of the first quarter was approximately $2.6 billion, which is net of approximately $385 million, representing about 5.3 million shares of first quarter share repurchases. The company's current $2 billion share repurchase authorization has a remaining balance of approximately $499 million at the end of the first quarter and is expected to be completed in early fiscal 2016. As a reminder, this repurchase program may be influenced by several factors including business and market conditions. Since our first share repurchase authorization back in December 2004 and through May 30, 2015, the company has returned more than $8.9 billion of cash to shareholders through repurchases, representing over 167 million shares and we have done this during the period of significant capital investments in the future of our company while continuing to generate significant operating cash flow and maintaining a solid balance sheet. Now, I would like to turn to our planning assumptions for the second quarter and full year, which include the following. We are modeling a 2% to 3% increase for comparable sales for the second quarter and continue to model a 2% to 3% increase for the back half of 2015. Net sales will exceed the comp sales percentage increase by approximately 70 basis points in the second quarter and by approximately 110 basis points for the back half of the year. This model comp sales range of 2% to 3% includes an unfavorable impact for both the second quarter and back half of the year of about 20 to 30 basis points due to modeled year-over-year fluctuations in the foreign currency exchange rates related to our Canadian operations. Assuming these sales levels, gross profit is modeled to deleverage for both the second quarter and full year. Contributing to the modeled gross profit deleverage are increases in both coupon expense and net direct to customer shipping expense. As we said previously, we are modeling the fiscal 2015 deleverage in gross profit as a percentage of net sales to be less than it was in 2014. SG&A is also modeled to deleverage for both the second quarter and full year, which includes increases in technology related expenses and investments in compensation and benefits. Also contributing to the full year deleverage is the nonrecurring benefit relating to the credit card litigation settlement, which occurred in the third quarter of fiscal 2014. Depreciation expense continues to be modeled in the range of approximately $255 million to $265 million for the full year. Annual interest expense is now anticipated to be approximately $81 million, primarily resulting from the interest related to the $1.5 billion of senior unsecured notes and the interest from our sale leaseback obligations related to certain distribution centers. The second quarter and full year tax rates are estimated to be in the mid to high 30s percent rate, with an expected variability as distinct tax events occur. Based on our model, we expect to generate positive operating cash flow. Capital expenditures in 2015 are planned to be approximately $375 million to $400 million, which remain subject to the timing and composition of projects. Our technology related projects represent nearly half of our planned capital expenditures for the year and includes the deployment of new systems and equipment in our stores, enhancements to our omnichannel capabilities, ongoing investment in data analytics, the continued buildout and utilization of a data center in North Carolina and the continued development of a new point of sale system. In addition to our technology related projects, capital expenditures also include the opening of approximately 30 new stores companywide, including the five we have opened to-date and our new customer service contact center that Steven previously mentioned. We will also continue our program of renovating or repositioning stores within markets where appropriate. As a reminder, we anticipate an increase in the number of new stores and repositioned stores that will be self developed this year compared to last year. As such, we will incur incremental capital expenditures for the construction and other improvements. As you may know, this is not a new strategy for us, but is a decision made on a project-by-project basis to optimize our real estate occupancy expense structure. As part of our strategy to renovate or reposition stores, we seek opportunities to leverage our broad merchandise assortments for all of our concepts. We have been creating specialty departments within our stores in categories such as health and beauty care, baby, specialty food and beverage. At Bed Bath and Beyond stores alone, we have nearly 200 locations that have one or more of these specialty departments and we continue to model approximately 15 Bed Bath and Beyond stores to add at least one specialty department this fiscal year. And we will continue making enhancements to our distribution and e-commerce fulfillment centers to improve capacity and productivity. Regarding our current $2 billion share repurchase program, we plan to continue to repurchase shares and estimate this program to be completed by early fiscal 2016. This repurchase program, however maybe influenced by several factors including business and market conditions. We are now modeling full year diluted weighted average shares outstanding for 2015 to be approximately 167 million subject to the timing of our share repurchase program. Based on these and other planning assumptions, we are modeling net earnings per diluted share to be in the range of $1.18 to $1.23 in the second quarter as compared to $1.17 in 2014. For the full year, we are continuing to model net earnings per diluted share to be between relatively flat and a mid-single digit percentage increase as compared to 2014. Our 2015 model incorporates an unfavorable Canadian currency exchange rate impact of approximately $0.05, including about $0.01 in the first quarter. Based on a modeled 2015 Canadian currency exchange rate of approximately CAD 1.25 to each U.S. dollar. In summary, our balance sheet and business fundamentals remain strong and we believe with the strategic investments we are making today, we are well-positioned for the future. As we have said before, this is an exciting time for our company and we continue to manage our business for long term growth and profitability. And finally, we plan to report our 2015 fiscal second quarter net sales and net earnings results on Thursday, September 24. I would now like to turn the call back to Steven.
Steven Temares: Thank you, Sue. As we repeatedly say, our ability to interact with and satisfy our customers wherever, whenever and however they express their life interests and travel through their various life stages is our strategic imperative. This has been our mission for the past 44 years and it continues to be the foundation to everything we do. In today's ever evolving retail environment, this approach has never been more important. In understanding and satisfying our customer's needs and wants, we believe the whole is greater than the sum of our parts, which gives us a powerful retail model that will enable us to further refine our relationships with our customers. Our shared services model has been one of the foundational pieces of our organizational structure since we made our acquisition of Harmon back in 2002. The knowledge and best practices afforded us by our shared services model ultimately allows us to most efficiently drive a better and more robust customer experience. By leveraging our corporate infrastructure for many functional areas where appropriate, we are able to do more for and with our customers while optimizing efficiencies and profitability across our company. We look to continue to leverage the capital investments we make in one area of our business across all our concepts, channels and countries in which we operate. We see this across our company in areas such as technology, analytics, marketing, logistics, real estate, product development and merchandise assortments. For example, as Sue mentioned, we leverage our broad merchandise assortments by creating specialty departments within our concepts in categories such as health and beauty care, baby, specialty food and beverage. We also gain economies of scale as we optimize our store operations and market coverage, resulting in favorable advertising and real estate opportunities. This is a model that we continue to improve upon through our ongoing investments in disciplines such as analytics, target marketing, logistics and information technology. As I said earlier, this is an exciting time for our company and we are excited about our future. We are confident that we are making the appropriate investments to position our company for long-term profitable growth and to further enhance shareholder value. In closing, I would like to thank our more than 60,000 dedicated associates for their efforts, which drive our company's success. It is their passion to succeed and satisfy our customers that enables us to continue to do more for and with our customers wherever, whenever and however they wish to interact with us. Thank you for listening today and for your continued interest in Bed Bath and Beyond. Sue, Janet and Ken Frankel will be here tonight to answer any questions you may have.
End of Q&A: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.